Operator: Good morning ladies and gentlemen. Thank you for standing by. Welcome to Yamana Gold 2013 Third Quarter Release Conference Call and webcast. At this time, all participants are in a listen-only mode. Following the presentation, we will conduct a question-and-answer session. Instructions will be provided at that time. I will now turn the call over to Ms. Lisa Doddridge, Vice President, Corporate Communications and Investor Relations.
Lisa Doddridge: Good morning and thank you all for joining us. Before I turn the call over, I need to advise that certain statements made during this call today may contain certain forward-looking information and actual results could differ from the conclusions or projections in that forward-looking information, which include, but are not limited to, statements with respect to the estimation of mineral reserves and resources, the timing and amount of estimated future production, cost of production, capital expenditures, future metal prices and the cost and timing of the development of new projects. For a complete discussion of the risks, uncertainties and factors which may lead to our actual financial results and performance being different from the estimates contained in our forward-looking statements, please refer to our press release issued yesterday announcing our third quarter 2013 results, as well as our management’s discussion and analysis for the same period and other regulatory filings in Canada and the United States. Throughout the presentation, when speakers use the term ounces, they will be referring to gold equivalent ounces unless otherwise stated. Gold equivalent ounces include silver production at a ratio of 50:1. I would like to remind everyone that this conference call is being recorded and will be available for replay today at 2 pm Eastern Time. Replay information and the presentation slides accompanying this conference call and webcast are available on Yamana’s website at yamana.com. I will now turn the call over to Mr. Peter Marrone, Chairman and CEO.
Peter Marrone: Lisa, thank you. Good morning and thank you to all of you for joining us this morning. As usual I have members of our senior management team here today to participate in our discussion of our third quarter results and of course our outlook going forward. Delays in travel from South American, our South American locations have kept our Chief Operations Officer from joining us. However, we are pleased to have our next level of operational management here with us to speak for our operations. Ladies and gentlemen, clearly 2013 to date has been a volatile year for commodity prices. As the volatility has dictated that companies in our industries should reduce spending costs, production levels to secure better future growth. That is our approach not because of a concern on costs but because we see this as a way to mitigate risk and we see it as an opportunity, an opportunity to do better. Preservation of margins and the generation of cash flow and free cash flow is that our philosophical core, we’ve been consistent with that for sometime. And this is an important point. In an environment where gold prices are rising or there is a reasonable certainty that it will continue to rise, where there is minimal risk of margin compression. Margin allowances should be produced. It will contribute to the generation of cash flow. The overall objective in a certain and rising gold price environment is to maintain an increased cash flows and to maximize production. In an environment where there has been volatility in gold price and the lack of clarity on the direction of that gold price, there is a higher risk of margins being eroded and the objective in this kind of environment at least in our view is to contain costs and protect margins. The focus should be on ensuring certainly and sustainability in the generation of cash flows as part of the pursuit of additional growth. The production of more marginal ounces becomes far or less certain as they have a greater potential of eroding margins and decreasing cash flows. Now once marginal ounces are de-risked, a company can look to adding them to the production profile. This then also applies to new production. The singular greatest risk to financial performance for gold, for a mining company is that development of or start up of a new operation. We continue to evaluate and determine optimal production levels as part of that evaluation of risk. So production growth is important, but in this environment it should be pursued with certainty and without risking ones cost structure and cash flows. We have seen overnight some commentary on short-term production growth of this company. We have noted that there has been some view that there has been a lack of clarity. So let me be clear and make sure that this is better explained. We expect robust production increases in Q4. We have said this since the beginning of the year. Based on our production for Q3 and our budgeted production for Q4, we would exceed our gold this year of over 1.3 million ounces, equally clear is the cost containment and margin preservation are important. If matters to meet to produce at our higher level and risk costs, if matters to meet to ensure that when we are producing at our higher level, we are not risking costs. We should be maximizing value by containing costs now as an opportunity to present itself now to contain those costs even for a brief period of time; we take a more critical approach to short-term production. Quality matters as much as quantity and they have to go hand in hand. And as for the next few years, we expect to capture the benefit of those better costs and the higher production at our stated guidance, which for next year, we’ve indicated to be 1.4 million ounces. Equally, we will take a portfolio approach and is to maximize cash flow on a per share basis non-core, non-performing assets, at least non-performing to our standards need to be dealt with, we will do so. While that may impact future production guidance it will mean higher returns, better value, more certainty and reliability and of course better quality. We announced in Q2 our cost containment program. That would see over $140 million of aggregate savings. The majority of these savings impacted the all-in sustaining cost structure with other savings realized and expected to be realized in expansionary capital spending. Our all-in cost structure on a co-product basis without up credit from copper started the year, the level in excess of $1,000 per ounce. By the third quarter, our cost structure declined by over $125 per ounce to $888 per ounce. Now that is an all-in cost structure, which includes cash cost, but the other components that go to all-in costs. And that keeps us to the lowest deciles of cost in the industry. As you will hear and as you’ve seen from our third quarter results, we are seeing and we’ll continue to see improvements in production and cost at Jacobina and we will see significant production in cost improvements at Gualcamayo and Minera Florida in the fourth quarter. So with the bulk of our cost initiative is settled, we have entered Q4 with a better plan coinciding with significant production increases expected in Q4 over Q3. The cost containment initiative is clearly focused on cost reductions and more prudent spending, driven by more conservative plans and focus on optimizations. Ultimately the end game is a generation of cash flow and free cash flow. If you look at the trend so far in 2013, you see an average gold price that is declined by close to 20% since Q1 with the decline tapering from Q2 to Q3 for the crimes still up 4%. The decline has been rapid and as we have experienced in the past, there is a lag in the timing that costs and cost inputs adjust to that new environment. As indicated, we were quick to react and took the opportunity to implement an aggressive strategy to get costs down and to ensure the generation of cash flow. It is the same approach that we had either took in 2009, when we saw a precipitous drop in metal prices then which was driven to claw back margins. We view the second quarter as the benchmark on what success would be measured and the trends will be established. You see that in Q2 we generated cash flow of $0.20 per share or just below $151 million. We were able to increase the cash flow generation capacity in the third quarter by a full 20%, the increasing per share cash flow to over $0.24 per share and the aggregate amount to just over $177 million. And year-to-date we have generated approximately $543 million in cash flow. While gold prices stabilized or declined, our cash flow was up 20% over Q2. We feel that this is the upward trending cash flow generation that has now been established. It is a trend that we will continue to deliver and we – as we continue to stabilize our costs and enhance our production growth. Now I want to declare growth and particularly production growth is important, but it should not come at the expense of cash flow certainty. For us 2013 has been a transition year as we brought three new mines into production. These new operations had some challenges with timing and speed of ramp up in particular. It was only exacerbated in constant and complicated by the changing in the metal price environment as these challenges are overcome during this transition phase. As we now mostly put it behind us, our certainty of timing and future production level grows with the certainty also of that contained cost structure. Year-to-date we have produced approximately 900,000 ounces, which can enlarge partly attributed to our core portfolio. We are expecting more significant growth in Q4 which will get us toward our production target for the year. Most of that production increase will come from Gualcamayo. For Q4 Gualcamayo’s production is expected to be a multiple of Q3 as we start operations in Phase III and as we start operations from QDD Lower West. And of course it will come from the new operations. For next year and the years to follow as our new operations are closer to full capacity and production levels, we will deliver additional production growth although and this is important with more certainty of costs at levels previously announced. And now I would like to turn the call over to operations to provide a snapshot of our operational performance in Q3 and our outlook. I have here Gerardo Fernandez, our Vice President and Country Manager for Chile and for Mexico and Evandro Cintra, our Senior Vice President, Technical Services. You are familiar with Evandro, as he has participated in our conference calls before. Many of you are familiar with Gerardo; he was responsible for the development and ramp up of our Mercedes mine. With the experience he gained and the confidence he displayed, which I think directly impacted the almost flawless development and ramp up of Mercedes. He was promoted the Vice President, Country Manager and his responsibilities have expanded to include all of Chile and Mexico. In conjunction with our Country Manager in Argentina, he is now also overseeing our Gualcamayo expansion and of course ultimately Cerro Moro as well. With Gerardo’s technical confidence in operations and more specifically underground operations, he continues to provide effective oversight and initiate improvements with our operations. And I’ll now turn to him to continue the call.
Gerardo Fernandez: Thank you, Peter. Production in the third quarter increased by 4% from the second quarter, which are near 307,000 gold equivalent ounces, continuing the trend of quarter-to-quarter growth. Our portfolio of core assets continue to provide a stable base of production with additional ounces coming in as our new operators' ramp up. We expect a much bigger jump in production in the fourth quarter as our newer mines continue to ramp up and expansion of Gualcamayo QDD Lower West comes online. Our operators in Chile and Mexico continue to deliver all key operations, increased production compared to the third quarter of 2012. El Peñón exceeded expectations in the quarter and year-to-date where production is up 10% from 2012 levels. Minera Florida delivered production at lower costs compared to the third quarter last year and at Minera Florida costs are down by 17% compared to the second quarter of 2013. We expect this core operations to continue delivering on expectations in the fourth quarter with Minera Florida showing the most improvement with higher production and lower costs. Gualcamayo in the quarter when as expected with production mainly source from stockpile material. Also we have transitioned to a new phase [indiscernible] called Phase III. As the transition to Phase III was competed in Q3, we’re expecting a significant increase in production in the fourth quarter. As underground development at QDD Lower West is complete, we’re expecting that it will begin contributing to production in the late fourth quarter. Production for Q4 will be a multiple of Q3 and costs would equally decline. In the third quarter, we received a $8.8 million dividend from Alumbrera with attributive production of near 9600 ounces. At Cerro Moro, we’ll continue from the production where it declined as the stability studies is still expected in 2014. Chapada and Fazenda Brasileiro our other core operations delivered on expectations in the quarter. Chapada increased production by 17% in gold and 32% in copper compared to the previous quarter. As part of our cost containment initiatives both operations achieve significant reductions in the cost compared to the first and second quarters of the year. Both operations have cut cost by 20% plus since the first quarter. As Chapada would continue to evaluate options to increase production targeting at least 130,000 up to 150,000 gold equivalent ounces and 130 million ounce of copper. Options under evaluation, including modifying the grinding circuit, installing an in-pit crusher to increase throughput and the development of new ore bodies in Corpo Sul and Suruca and the potential contribution from Arco Sul. Jacobina is beginning to show improvement after below expected operational result in the first half of the year. In the near-term, the plan is to progress on reducing the cost structure and advancing the relevant work to speed-up assets to the high grade areas of the mine. As costs continue to decline under relevant work advances, we will look to increase longer-term production level. In the quarter, cost of Jacobina decreased by 19% and production increased by 11% compared to second quarter. Mostly this was due to enhanced rate control with improving rate of 7% from Q2 to Q3 and since the first quarter rate has improved by almost 15%. We expect this improvement to continue to the end of the year and also to the next year. I will now turn it over to Evandro to discuss our new operations.
Evandro Cintra: Thank you, Gerardo. We worked continually with our three new operations that are our overall information [indiscernible] ramping reaching the ramp up to full operations. We began operations later in the year declared although the ramp up is progressing now. We expect to complete transitioning by the end of the year. But Ernesto/Pau-a-Pique ability on new plans which continues to include an underground operation at Pau-a-Pique, but we are now contemplating a near-to-surface underground operation at Ernesto. Under this new plan, production levels will be lower than originally planned, but there will be a greater reliability of production and at reduced costs. In the quarter, transitioning continue to go down underground Pau-a-Pique although with less ore from open-pit in Ernesto as the near surface underground at Ernesto is currently being developed. To conclude, I will turn it back to Gerardo.
Gerardo Fernandez: Thank you, Evandro. With the third quarter arguably delivering our expectations, we’re well positioned to deliver productive growth in the fourth quarter and into 2014. This increased production and cash flow levels will be the result of our significant success, containing costs and a continuous daily production from our corporation with a regional production coming in from the new mines and expansions with full production level. Chuck will now review our financial performance.
Charles B. Main: Thank you, Gerardo. Revenues grew from second quarter to $457 million, taking year-to-date revenues to over $1.4 billion. We had adjusted earnings of $70 million, or $0.09 per share taking year-to-date adjusted earnings to over $236 million, or $0.31 per share. Operating cash flow before changes in non-cash working capital was over a $177 million, or $0.24 per share. Year-to-date, we have generated $542 million or $0.72 per share of operating cash flow before changes in non-cash working capital. It is worth noting, we have delivered these results in a quarter where commodity prices were lower than the same quarter last year and has continued decline from the second quarter of this year. In the quarter, we maintained our strong balance sheet as cost stabilized at lower levels. Cash and available credit at the end of the quarter were approximately $1 billion. This cash equivalents of approximately $232 million. Depletion, depreciation and amortization was $99 million for the quarter. Corporate G&A declined by 20% from last quarter and in the prior year. It was $30 million for the quarter. Exploration expense was $7 million, which was 53% lower than the third quarter of 2012. And total capital spend in the quarter was $218 million, which has been lowered by the expenditure reduction program reflecting impact the results of our cost containment initiative. The relative strength of our balance sheet was maintained in this quarter as we transitioned to this new price environment. I would like to turn to cost and provide an update on the previously announced cost containment initiatives. The program is progressing on course. In the quarter, we’re able to reduce our all-in sustaining co-product cash costs by $62 per GEO from the second quarter, bringing total reductions from the first quarter to a $126 per GEO or 12%. In total, we are expecting cost savings as a result of these initiatives to be over $140 million or approximately $115 million directly reducing all-in sustaining co-product cash costs and the remaining savings relating to expansionary capital. We are well positioned to deliver these total savings as we expect to continue executing on this program in the fourth quarter. Once this new cost structure is more well established, we will continue to look for further efficiencies and continue our focus on generating cash flow and free cash flow. As Peter mentioned earlier, our cost containment initiatives clearly focused on cost reductions and more prudent spending, but ultimately the end game is the generation of cash and free cash. And keeping with that philosophy, in this quarter we generated $0.24 per share of cash flow which is a 20% decrease from the second quarter despite the decline in average realized coal price by 12%. This increase in cash flow generation capacity reflects the increase in production and a significant decline in our cost structure and reduced capital expenditure. This positive trend in cash flow generation capacity is expected to carry through the next few years as we continue to be committed to containing cost and focus on quality of assets we produce to generate an enhanced cash flow level. As we look forward, the strategies to build on the progress to date by continuing to execute on cost containment initiatives. These savings would allow us to establish a stable lower cost structure more subject to this lower commodity price environment. I would like to highlight that we will continue through our traditional opportunities to contain cost and increase efficiencies outside the previously announced programs. The aim of this strategy is to protect margins, so we can deliver on our stated focus of generating robust amount of cash flow and free cash flow. One last point a disciplined approach in capital spending is especially for in this current environment and we are committed to ensuring discipline with our capital spending. This will start with significantly lower expansionary capital levels in 2014 compared to this year and w will also focus on sustaining capital reduction and tighter capital allocation hurdle. For capital to be allocated, returns must be high and have the ability to provide cash returns, cost reduction immediately well within a reasonably short period of time. I will now turn the call over to Darcy for an update on exploration.
Darcy Marud: Thanks Chuck. As a reminder our principal goal for exploration is and always has been to add value to our existing operations through the discovery and delineation of new resources. The strategy of exploring in the shadow of frame is valid today as it has ever been and the exploration success is previous year’s and this year will be and have always been a key in helping them on achieve its longer term production goals of $1.7 million gold equivalent ounces. We continually evaluate our exploration programs to ensure that we are funding our most encouraging project so that we can move resources through reserves as quickly and as efficiently as possible. In the case of our operating assets, we evaluate each to ensure that we have a minimum of seven years life of mine in mineral reserves and longer in reserves and resources. As part of our cost containment efforts, we forecast the decrease in exploration spending for 2014 but we believe that this will not affect our success in finding new resources that we have seen inputs and exploration coming down during 2013. We also don’t expect this to affect our principal assets as a seven year mine life has been confirmed for most operations. To highlight some of this year’s exploration achievements that will lead to increased resources and reserves I would like to pass the call to Mr. William Wulftange, Vice President of Resources and Reserves.
William Wulftange: Thank you, Darcy. This morning, I would like to briefly touch on select exploration success stories that continue to unfold the five important Yamana assets, first at Chapada. During the quarter, we completed 7,423 metres distributed in 74 holes, finishing the infill program at Corpo Sul and testing the near mine exploration targets as well as completing some local condemnation drilling. As the results from the Corpo Sul infill program continue to return broad intercepts of above life-of-mine average grades and are expected to increase the mineral resource numbers as well as have a positive impact on reserves. At El Peñón, exploration activity is full stream ahead and El Peñón completing over 40,000 metres distributed in a 128 holes during the quarter. Three new exploration discoveries were made during this quarter in the hanging wall blocks of Providencia and Aleste structures and identifying a completely new vein system at Borde Oeste located east of Cerro Martillo complex the southeast of Bonanza. The new vein systems are high grade gold and silver structures 0.5 metres to nearly 2 metres and 2 width and the exploration team continues to drill and expand these new discoveries as well as define the resource potential. At Gualcamayo, the underground exploration program continues to return positive results, so much so that additional funding was allocated in early September, so that the exploration can continue to test the needs for the Rodado and QDD Lower West systems. At Minera Florida, exploration is focused on Lisset Vein within the Mina Este target complex and the Tribuna-Victoria system 800 metres to the east. Both programs have identified new minable thicknesses of above average grades that will continue to contribute to Yamana’s goal of resource growth and reserve replacement. At Cerro Moro exploration efforts focused on testing the newly discovered Margarita vein system along with extending the known Carlita and Patricia veins along strike and down depth. All three programs have accomplished these goals and the exploration team has now turned to resource and reserve estimation as well as new target generation. In closing I believe the exploration team has designed programs that demonstrate focus, commitment and the ability to reach and achieve the perennial goals of resource growth and reserve replacement. I will now turn it back to Peter.
Peter Marrone: Thank you, Butch. So this is the balance. Ladies and gentlemen, contain costs; spend wisely, increase production in that increasing cash flow. Where there is a risk, the import certainty generates sustainable cash flow, contain costs because production growth which follows will be more reliable better able to contribute significantly the cash flows. Someone recently said to me something that you probably know. The comment was they don’t build statues to cost cutters. The cost cutters don’t get metals. There are no monuments to them. Success comes from growth and we know that. So this is not about cost-cutting only, it is about certainty and sustainability leading to further growth of production which begins this quarter in Q4 in the sustainable cash flows and more certainty, that if we spend money on increasing production, we can make money also in almost any metal price situation and at the best levels possible. So with that ladies and gentlemen, I will open the call for questions.
Operator: Thank you. We will now take questions from telephone lines. (Operator Instructions) The first question is from Anita Soni from Credit Suisse. Please go ahead.
Anita Soni – Credit Suisse: Sure, I have a couple of questions. First of on Suruca, what’s...
Peter Marrone: I’m sorry Anita; we can barely hear you, my apologies.
Anita Soni – Credit Suisse: Sorry, I will on the – on Suruca the reserves and resources how much was in the gold mineral in the 2012 year end mineral statement in Suruca and at what grade?
Peter Marrone: It’s only the offside that are in reserves and it’s about 0.5 grams per ton.
Anita Soni – Credit Suisse: Okay.
Peter Marrone: That we’re carrying as proven and probable reserves in the Chapada estimates for gold production and my recollection is we have about 400,000 ounces in proven and probable reserves.
Anita Soni – Credit Suisse: Okay.
Peter Marrone: Sorry, slightly less than that it’s 300,000 ounces, Anita.
Anita Soni – Credit Suisse: Sure, and what’s the status of Suruca right now?
Peter Marrone: It is interesting. Part of what you’re seeing in our, I’m sure what you’re seeing in our MD&A is we’ve indicated for Chapada, our plan is 130,000 ounces and £130 million of copper, that is well in excess of the production that we would expect to get beginning in 2015. Most of that contribution and perhaps indeed all of that contribution will come from the Chapada pit and Corpo Sul. With as Butch mentioned, the successes that we’re getting at Corpo Sul, we’re evaluating whether or not the better more sustainable production level initially is 130,000 ounces rather than 150,000 ounces, the difference would come from Suruca, but if we add Suruca’s 40,000 ounces then we would be well in excess of 150,000 ounces. So part of what we’re evaluating is should we be spending the money for Suruca in 2014 or wait a little bit longer and spend the money on Corpo Sul, which will give us while a smaller production level on the gold side of Chapada, we will also get better cost, than we would have been garnering in the overall production platform of 150,000 ounces. That is what we are evaluating, should we spend the capital in 2014 or wait on Suruca into 2015. There is a further issue Chapada is becoming increasingly larger with Corpo Sul, the in-pit pressure, the [indiscernible] Suruca. We now have some power constraints and so part of what we’re evaluating is what’s the optimal way to deliver the required amount of power for the much larger operation beginning in 2015 and should we do it over more strategic period of time. Suruca was regionally planned to start in late 2014. We are continuing to evaluate whether or not that is an optimal program for Chapada because of the successes at Corpo Sul, what we’re currently evaluating is that we would emphasize Corpo Sul and Chapada in 2015 and the years to follow, the effect of which would be that our production target then and our production platform will be 130,000 ounces and a 130 million tonne of copper rather than the 150,000 ounces but at much better costs.
Anita Soni – Credit Suisse: All right, so can I just finish the question with, one, what’s the capital that would have been expected for Suruca, and two, on Corpo Sul, what is the amount within the reserves statements for that deposit?
Peter Marrone: Anita I heard the first question the capital on Suruca and we estimated that – what was the second question?
Anita Soni – Credit Suisse: The second question was with respect to the amount of the reserves that are related to Corpo Sul.
Peter Marrone: Well, let me address the first question and then I’ll pass it to Butch on Corpo Sul. On Suruca, we’re estimating that the CapEx is in the range of $70 million with Suruca. And on the question which I know it’s difficult to hear, but the question was what do we have as reserves coming from Corpo Sul?
William Wulftange: Well right now we have on the reserve statement nearly 900,000 ounces of gold and 795 million pounds of copper. So that’s the current reserve.
Peter Marrone: And that’s as of the end of 2012 and we are expecting this year because of the in-fill that Butch touched on briefly. We’re seeing a great increase for copper and gold. We’re seeing an increase in total pounds of copper and ounces of gold. So we should anticipate that at the end of year, this year we’ll have an increase to those numbers and we’ll also likely have an increase to the grade as well.
Anita Soni – Credit Suisse: All right, thank you. And just one more question if I may, can you break out the $73 million sustaining capital that you spent this quarter by asset?
Charles B. Main: What we spent in expansionary capital?
Anita Soni – Credit Suisse: No sustaining that growth…
Charles B. Main: 
 :
Anita Soni – Credit Suisse: Okay, thank you very much. That’s it for me. Thanks.
Operator: Thank you. Your next question is from Dan Rollins from RBC Capital markets. Please go ahead.
Dan Rollins: Yes, thanks very much. Peter team, you guys have done a very good job, but really raining in the cost and all-in sustaining basis. Specifically if you exclude the stock based comp, you’re looking around $24 million of G&A down from around probably run rate of closer to 35 to 40. Is the 23 million ounces, 25 million ounces achievable run rate going forward or do you still see room to make some cost cuts on the corporate side?
RBC Capital Markets: Yes, thanks very much. Peter team, you guys have done a very good job, but really raining in the cost and all-in sustaining basis. Specifically if you exclude the stock based comp, you’re looking around $24 million of G&A down from around probably run rate of closer to 35 to 40. Is the 23 million ounces, 25 million ounces achievable run rate going forward or do you still see room to make some cost cuts on the corporate side?
Peter Marrone: Sorry the $23 million, $24 million in G&A?
Dan Rollins: Yes.
RBC Capital Markets: Yes.
Peter Marrone: Yes, we’re developing an increasing confidence that we’ve changed the G&A down to a sustainable level. We’ll see if we can get some further improvements. There is a modest additional improvement that we’re planning as part of our budgeting process in 2014, but that’s under the evaluation phase. I think a good number Dan is in the range of, on an annual basis it’s in the range of $125 million to $130 million.
Dan Rollins: Okay perfect. And then just on your sustaining capital, in the past you’ve mentioned between $350 million, $400 million annually once all your mines are up and running for sustaining capital. Is that still a good estimate to use? Or have you been able to find some additional cost savings on sustaining capital at your existing operation?
RBC Capital Markets: Okay perfect. And then just on your sustaining capital, in the past you’ve mentioned between $350 million, $400 million annually once all your mines are up and running for sustaining capital. Is that still a good estimate to use? Or have you been able to find some additional cost savings on sustaining capital at your existing operation?
Peter Marrone: Again a good question and again it’s important to make sure that we don’t double count it because as you are aware we include this into our all-in cost structure, on a per ounce basis. On an aggregate basis, it does increases as revenue operations. We’re anticipating somewhere in the range of $380 million to $400 million next year, which would mean that it would remain relatively flat to slightly down, but with more operations. So on a per ounce basis, it should come down also. As you are aware in the number $925 per ounce or $850 per ounce after credit, after copper as a credit that we published earlier this year, for 2014, we’re including the sustaining CapEx on a per ounce basis. But if you look at our third quarter results, we delivered every ounce of gold not at $925 per ounce, but at $880 per ounce. And on a by-product basis, we delivered every ounce not at $850 per ounce but $750 per ounce. So does that mean that a sustainable for now. We stand by our forecast and our guidance on cost for 2014 is $925 million and $850 million but we think that there remain some room for improvement, some of that will come from sustaining capital.
Dan Rollins: Okay, and then just on growth capital is a good estimate for next year roughly about $250 million or is that a little late?
RBC Capital Markets: Okay, and then just on growth capital is a good estimate for next year roughly about $250 million or is that a little late?
Peter Marrone: Well, as Chuck alluded and we’re going through the budgeting process now as Chuck suggested, we dropped a little bit whether or not we should give some indications of our CapEx, our expansionary capital next year but we’re in the budgeting process, we publicly said previously that $250 million was the number for 2014 but we’re evaluating now is a possibility of reducing that, to a number that is below $200 million. So I would say that a good estimate is between $200 million and $250 million today we might be able to come in with a number that is lower than that but we’re evaluating that and it goes to the question that was previously asked by Anita about what are we doing with Suruca, if we’re spending on Suruca then we’re likely coming closer to that $200 million to $250 million and if we’re not then and we have a better plan accentuating Corpo Sul and then deferring Suruca then we would be spending at a number that is likely at or below $200 million. But we’re going through that evaluation process now.
Dan Rollins: Okay, and then just on Gualcamayo for Q4 you mentioned it would be a multiple of Q3 if I presuming given the fact that you have new pads starting up also the benefits from the higher grades from QDD Lower West that you’re going to get a build the pole lot of ounces over the pad in Q4 and then you’ll see more of a steady run rate as we move into 2014?
RBC Capital Markets: Okay, and then just on Gualcamayo for Q4 you mentioned it would be a multiple of Q3 if I presuming given the fact that you have new pads starting up also the benefits from the higher grades from QDD Lower West that you’re going to get a build the pole lot of ounces over the pad in Q4 and then you’ll see more of a steady run rate as we move into 2014?
Unidentified Company Representative: Yeah, that’s correct and what we’re seeing is three things really the new pad it’s [Indiscernible] and the open-pit from Phase III and then it is the start-up of production coming from the near-to-surface underground of QDD Lower West and that should deliver that multiple of production we produced roughly 27,000 ounces in Q3 and we’ll get a multiple of that in Q4.
Dan Rollins: Okay, perfect and just there one last question just on E&P the new underground I guess the shallow underground you’re looking at doing under the open-pit or to take out the open-pit how much additional capital is going to be incurred and how this is going to change the cash flow – cost structure because I think a lot of times you talked about E&P you mentioned cash costs probably in the potentially in that $1000 an ounce range. Where do you think you can get to on sustainable basis as the E&P go forward?
RBC Capital Markets: Okay, perfect and just there one last question just on E&P the new underground I guess the shallow underground you’re looking at doing under the open-pit or to take out the open-pit how much additional capital is going to be incurred and how this is going to change the cash flow – cost structure because I think a lot of times you talked about E&P you mentioned cash costs probably in the potentially in that $1000 an ounce range. Where do you think you can get to on sustainable basis as the E&P go forward?
Unidentified Company Representative: What we’re trying to get to is a production platform of about 60,000 ounces roughly half of which would come from that very, very near-to-surface underground at Ernesto and some of it would come from a new satellite deposit called [indiscernible] and the majority would come from the already developed power, the cost structure we’re going through that evaluation process but we’re aiming toward is an all in cost of below $1100 per ounce, we won’t see that in the first quarter of the year, we do anticipate seeing that by the end of the year. The amount of capital required to do that is modest. We’re talking about millions of dollars, not the tens of millions of dollars and we should be able to get to that by the second quarter of next year. It is very near to surface. So the good news about Ernesto/Pau-a-Pique is that it is the plan is now better plan to be able to deliver a lesser number of ounces, but at a greater certainty on cost structure. What we experienced in the open-pit is a variability and a swing in ore grade that was a very erratic and unclear, so very significant possible or negative effect. This gives us a better plan. It allows us to get more certainty of production, roughly 60,000 ounces as I mentioned, a modest amount of capitals are spend to get there. We wait and see the cost structure improving to that 1,100 in the first quarter, possibly the second quarter of the year. We are expecting it current cash flow positive in the second half of the year and we’re expecting it to be entirely cash flow positive in 2015.
Dan Rollins: Great. Thanks very much.
RBC Capital Markets: Great. Thanks very much.
Operator: Thank you. The next question is from James Bender from Scotiabank. Please go ahead.
James Bender – Scotiabank:
 :
Peter Marrone: Let me deal with at the first couple of points, I’ll pass it to Gerardo on QDD Lower West also, and then perhaps to Chuck on the capital expenses. As I mentioned in answer to the previous question, the production at Gualcamayo is going to increase in Q4 for three reasons, some of which is QDD Lower West. The bigger portion of it is the Phase III in the open-pit as QDD Lower West ramps up. So that multiple to which I referred is a combination of three things. It is the new areas of Phase III in the open-pit. It is the QDD Lower West ore and it is also the fresh pads.
James Bender – Scotiabank: Okay.
Peter Marrone: Gerardo, do you have a breakdown of what it is by component, each of those components?
Gerardo Fernandez: No, in ounces, but we expect to reach the stable for the 3,000 bucks for data, what Gualcamayo at the end of the quarter, and the main contribution would come from a million [indiscernible] and the new Phase III account.
Peter Marrone: In terms of the 2013 new mines and let’s preference with the Pilar and C1 Santa Luz again where we just started the ramp up and if we look at the production platform in the third quarter, it is not representative of what we would expect in the fourth quarter, but we would represent expect for 2014. If we look at an estimate, I would anticipate that for C1 and Pilar, we should get somewhere in the range of 15,000 to 20,000 at the bottom end and 30,000 at the top end. And if it’s at the top end as I mentioned then we would be at a production level that is over that 1.3 million ounces that I referred to in the presentation. If we look at 2014, which is the first full-year of operations, we expect to be a commercial production at both of these operations late this year, early into 2014. There is a high probability of being in production well before we announce our year-end results in February, the result of which is that we should be expecting a production level for each of those two mines at somewhere over 90,000 ounces for that first year of operations and the more sustainable production level going forward is between 90,000 and 120,000 ounces, likely above a 100,000 per month.
James Bender – Scotiabank: Okay and...
Peter Marrone: Sorry, please go ahead.
James Bender – Scotiabank: And for Ernesto is that Q4 expected to be all commercial?
Peter Marrone: No, as I mentioned for Ernesto, we’re expecting that it would be commercial because what we’re now doing is we’re developing that near-to-surface underground at the Ernesto open-pit.
James Bender – Scotiabank: Okay.
Peter Marrone: So the result of that is we expect commercial production from Ernesto to occur in the second quarter of 2014.
James Bender – Scotiabank: Okay, thank you very much. That’s it from me.
Peter Marrone: And you’ve asked about CapEx?
James Bender – Scotiabank: Oh, yes, the CapEx.
Charles B. Main: Yeah, Q3 capital was $280 million of that approximately $50 million was construction. So that construction activities tapering down in the fourth quarter. So I guess a ballpark way to do it is there would be about $15 million less. So the Q4 capital would be expected to be around Q3 level minus $35 million, so say $180 million.
James Bender – Scotiabank: Okay, thank you very much.
Operator: Thank you. The next question is from David Haughton from BMO Capital Markets. Please go ahead.
David Haughton – BMO Capital Markets:
 :
Peter Marrone: Yeah, C1 Santa Luz – I’m going to turn it to Evandro in a moment that C1 Santa Luz grades are reconciling well. As you know C1 Santa Luz is an open-pit. The challenges for each – for any particular operations are always different from operation to operation. Our challenge with C1 Santa Luz was ensuring that the recovery where at higher levels and that’s now ramping up. That’s not been a great issues. But Pilar’s and underground mine, it has been more of making sure that we can reconcile the grade and we are now beginning to get good reconciliation on the grade for Pilar.
Evandro Cintra: Okay. Ernesto/Pau-a-Pique, the reconciliation for Pau-a-Pique underground is there would be ramp up in the third quarter was included very much. We are now, have started to develop this underground at Ernesto, which we expect will be similar reconciliation that we had in Northeast. For Pilar, we’re still having some extra dilution due to the size of our Caiamar. But the same that we have done in the grade control, we’re showing that the grade is according to the model is more a question of contain dilution that will be comparing with the new [indiscernible].
David Haughton – BMO Capital Markets: All right, thank you. And with the change of plan now at Ernesto/Pau-a-Pique, going now effectively for two undergrounds; how should we think about the throughputs that you would achieve from each of them as far as tonnes, mine and kind of grades you’re looking for? And then I guess the next question is how those costs put into play, which one would be carrying more cost et cetera?
Charles B. Main: Okay, if you look at the plant there with a 3,000 tonnes a day that would be more or less copper, 1,500 tonnes from city, 1,500 tonnes from international underground. And that cost of structure that we expected for the mine sales would be in the ranges from $40 for the mine.
David Haughton – BMO Capital Markets: Okay. So the cost structure for each are very similar than?
Charles B. Main: Yes.
David Haughton – BMO Capital Markets: And what are the grades that you would anticipate from one versus the other?
Charles B. Main: Hope, we have a similar grades that will be from 3 grams to 4 grams.
David Haughton – BMO Capital Markets: Okay. So they kind of look very similar to each other then?
Unidentified Company Representative: Yes. As the reconciliation of [indiscernible] but in terms of our mine and gold factor has been over 100%. So we’re getting good reconciliation for the grade. You asked the question of Pilar, and I think it’s important to pick up on the points that have for me. We’re sizing the equipment that is to be used with that mine, it’s smaller equipment that was originally planned. The result of which is that we should mitigate dilution quite significantly. So we’re capturing rate where we expect to get rate. The ore body is where we anticipated to be, but it’s the size of equipment.
 :
David Haughton – BMO Capital Markets: Okay. Now with these three new operations in commercial production, at least early next year, would you expect that to host the site visit down to see these three things next year?
Peter Marrone: 
 :
David Haughton – BMO Capital Markets: That’s great. Thank you, Peter.
Peter Marrone: Thank you.
Operator: Thank you. The next question is from Anita Soni from Credit Suisse. Please go ahead.
Anita Soni – Credit Suisse: Hi, I just wanted to follow-up on the Ernesto/Pau-a-Pique. Is there an additional capital in terms of developing the underground positive in Ernesto now that we would expect for 2014?
Peter Marrone: Yes, as I mentioned, we’re anticipating that that amount of capital was into millions of dollars and not the tens of millions of dollars. It will not cost a significant amount to do that development work.
Anita Soni – Credit Suisse: Okay.
Peter Marrone: So that was a question, which was previously asked and that’s what our current anticipation is.
Anita Soni – Credit Suisse: Right.
Peter Marrone: So we’re not talking about a large amount of money to get there.
Anita Soni – Credit Suisse: Yes. Sorry, I missed that. Thanks.
Peter Marrone: Thank you.
Operator: Thank you. The next question is from Doug Dyer from Heartland Advisors. Please go ahead.
Doug Dyer: Yes. So you ended the quarter with approximately $230 million. Going forward into the next few quarters as we get closer to the end of the spending bulge, where do you anticipate cash bottoming out and in which quarter?
– Heartland Advisors, Inc.: Yes. So you ended the quarter with approximately $230 million. Going forward into the next few quarters as we get closer to the end of the spending bulge, where do you anticipate cash bottoming out and in which quarter?
Peter Marrone: Doug, our stated objective has always been to have a minimal amount of cash with at least $150 million in our treasury. And so we would anticipate that the bottom occurs in Q4 and we would have in the range of $150 million in cash in our treasury. And our expectation that is that will continue to build into 2014, as we generate the cash flows that we’ve described at the higher production levels with the cost structure that we’ve just indicated and given that our CapEx is a fraction of where it is this year, and likely coming down as well from the $250 million number that we previously published. Our exploration spend is no longer needs to be at the level that it was given the successes we’ve had over the last four or five years. We’re anticipating it will increase those cash balances in the 2014. It all depends on where metal prices would be, but if we assume a static metal price, we’ve assumed 1,300 for now. We would expect that level of cash at the end of the year and that increases in 2014.
Doug Dyer: All right, that’s great to hear. Thank you very much.
– Heartland Advisors, Inc.: All right, that’s great to hear. Thank you very much.
Operator: Thank you. (Operator Instructions) The next question is from Andrew Quail from Goldman Sachs. Please go ahead.
Andrew Quail – Goldman Sachs & Co.: Hi guys, thank you very much for the update this morning. Most of my questions have been asked, but I do have one on into the reserve resources. You guys obviously use a much lower number than most. Are you guys sort of reviewing that given this sort of correction in process, or are you happy where you guys are? 
Peter Marrone: We’re happy using $950. I think that is a – still a reasonable number to use. As you know Andrew, reserves are the long-term plan of any operation. And so we think the $950 is still a very respectable, sustainable long-term number. Even in the context to where metal prices are, and in the context of where some are projecting metal prices to be. It’s not below or nowhere near $950. So we feel that’s the reasonable number and there is a further point, which is when we’re comparing reserve growth year-over-year it makes for an easier comparison. It makes it easier for shareholders in this company and people who follow the company such as yourself, be able to say it’s not because of metal prices there has been an increase or whatever, it’s because they’ve actually been successful of finding new ones.
Andrew Quail – Goldman Sachs & Co.: I appreciate the conservatism and one last thing on Gualcamayo, what obviously grade increasing and tonnage as well, I mean obviously costs are going to come down. Do you think or can you give some sort of guidance of how much they could come down in Q4 or enabling to sort of 2014. That back to sort of levels of 2012 or what do you guys sort of forecast?
Peter Marrone: Yes, all-in costs for Q3 at Gualcamayo were in the range of $1200 per ounce.
Andrew Quail – Goldman Sachs & Co.: Yes.
Peter Marrone: A lot of that also was some earth moving exercises, waste removal to get the Phase III that we observed into the third quarter. We’ll see a significant improvement in Q4. So again it’s always difficult to predict on a quarter-by-quarter basis. But the cost structure at Gualcamayo even in the inflationary environment of Argentina should be below $900 per ounce, all-in.
Andrew Quail – Goldman Sachs & Co.: Got it.
Peter Marrone: So we’re still confident that beginning in Q4, we’ll begin to recognize that improvement to costs.
Andrew Quail – Goldman Sachs & Co.: Got it. Thanks Peter.
Peter Marrone: Thank you, Andrew.
Operator: Thank you. The next question is from Alec Kodatsky from CIBC. Please go ahead.
Alec Kodatsky – CIBC World Markets: Thanks. Just a couple of quick follow-ups just with Ernesto; just trying to get just a bit of clarity, with respect to the open-pit, is the intention to repurpose the equipment or are you going to continue to hold on and access other satellite deposits as they make them available?
Peter Marrone: And again the exploration successes here it’s a very good question, Alec. The exploration success is to demonstrate that there are some satellite open-pit deposits. And so I alluded to one earlier that Lavrinha deposits, so some of the production in 2014 will come from Lavrinha and that is a very near to surface open-pit, very shallow open-pit. So we do expect that we’ll be able to get the benefit of some open-pit material come through that plant in 2014.
Alec Kodatsky – CIBC World Markets: Okay. And then to completely change gears, because we haven’t talked about it. Maybe just a couple minutes or even less than that if you wish on Cerro Moro, so you’re thinking I guess more in the context of the political environment in Argentina and the progress that you’re looking to make there just general thoughts around that and whether you’re thinking has changed a lot in the last quarter?
Peter Marrone: Well, Alec, it’s interesting. I’m really happy that you presented it in the way that you have starting with EPAP and then ending up with Cerro Moro, because I think as you can appreciate Ernesto/Pau-a-Pique is now our smallest mine and with roughly 60,000 ounces of production and even ended $1,100 cash cost. Ernesto/Pau-a-Pique squarely gets into the category of absolutely non-core to this company, recognizing the importance of making sure that we’ve got it right, we’re doing that. That’s just a philosophy of this company to make sure that we don’t abandon something just because it’s small, but equally it is a very small part of this portfolio. Coming to Cerro Moro, that’s the opposite end of the spectrum. Cerro Moro is the absolute future of this Company. Cerro Moro is a high-grade deposit, 15 grams per tonne. We expect it to have significant increases in resources, beginning this year. We expect to have with a feasibility study pending proven and probable reserves that demonstrates the viability – and the feasibility study that demonstrates the viability of this operation of more than 200,000 ounces per year and a cost structure that is below $450 per ounce. Cerro Moro is definitely on the path of development because it delivers some substantial growth of this Company. And as you may recollect, when we bought it, we anticipated that with a very small percentage of our market capitalization as the time, it was about 2% of our market cap, this asset will generate cash flow that should be in the range of $0.20 per share, a 20% increase in cash flow per share. So it’s pretty significant. So Cerro Moro is definitely on the slate of development. But the question is what should we do to make sure that we do it in a prudent disciplined way recognizing the socio-economic environment in any country in which we operate. And in this particular case, this country in which it is situated, but recognizing also that it is a deposit that is high grade, high quality and we want to make sure that we’ve got it right, a very similar approach that we took with Mercedes. So we planned to deliver feasibility study in the second half of 2014. We plan to continue development work there, pre-development work, including that development already ramped into one of its ore bodies which continue. We’re doing these things because we think it is prudent to do because it gives us an opportunity to look at continuity of grade and rock conditions. So that when we deliver feasibility study, it’s not that we’ve then have a lot of things to do after feasibility study that normally follow feasibility study. We will have done some of those things upfront, so that we can fast track its development. And so I’m very confident in saying to you that Cerro Moro is a project that should be developed, will be developed, but we will do it in the fullness of time recognizing that we want to deliver a high quality project, recognizing that it continues to get bigger, but also recognizing the socio-economic events in the country in which it is situated. Those socio-economic events as you’ve heard me say before related to two principal things. The rest of it are temporal and normally don’t last particularly long. The first is the FX and the second is the inflation rates. And so, what we’re anticipating is that there will be some significant changes to that over the course of time and we anticipate into 2014. So we shouldn’t develop a project based on an anticipation of something happening socio-economically, but it does appears if that will coincide with our plan to make sure that we have a feasibility study and plant for Cerro Moro that is high quality, which takes us into the middle of 2014. So we expect a lot more to come with Cerro Moro, a lot more to say with Cerro Moro over the course of the next several quarters.
Alec Kodatsky – CIBC World Markets: Okay. And just it would be safe to say then prudence is sort of the guide that the costs associated with constructing the project would be done in an environment, the price environment that you would see today as opposed to something post in FX or inflation change.
Peter Marrone: Well, yes to both, yes to both.
Alec Kodatsky – CIBC World Markets: Okay.
Peter Marrone: Because one of the things that is important is to evaluate what is the impact. I mean we said earlier this year that if we take the CapEx that was assumed by the company that we bought last year, there was a feasibility level and then we layered that with our experience at Mercedes because after all this is a plant and mine that is very similar to Mercedes, but at 2.5 tonnes of the grade. And so if we look at the experience there, if we look at our experience with Gualcamayo’s expansion and what we’re spending on that and if we look at the experience that we have at Mercedes, at El Peñón, which are very similar ore bodies and very similar mining method and processing method to Cerro Moro. We over layered their cost structure, put on top of that the inflationary impact in Argentina and put on top of that what was the exchange rate of 5.5 Pesos to the dollar at the time and we came up with a CapEx of approximately $400 million by comparison to the published number of that that company about $180 million. So is there room for improvement between $180 million and $400 million, absolutely. So a part of it will be evaluating between now and the middle of next year and interestingly to the end of 2014 as we start the process of development is how can we save on that $400 million CapEx. Why I say yes and no to you is because this project still delivers a very robust returns, even if we spent $400 million with all of those over layering that we put into that $400 million number. But we think we might be able to do it at a better CapEx with a better cost structure that will evolve over the course of 2014.
Alec Kodatsky – CIBC World Markets: Okay, thank you very much. I appreciate the answer.
Peter Marrone: Thank you, Alec.
Operator: Thank you. There are no further questions registered at this time. I would like to turn the meeting back over to Mr. Peter Marrone.
Peter Marrone: Thank you very much. And ladies and gentlemen, thank you very much for participating on this call today. We look forward to and perhaps you can hear our confidence in the fourth quarter of this year. We look forward to meeting with you again in relation to our fourth quarter results and delivering on some of the things that we’ve indicated today that we will do on some of the operations and more holistically globally in terms of the overall production increases in this company beginning in Q4. We will continue with an economic thesis with a commercial thesis of container costs as part of a program of making sure that you’re delivering on production, so that we can preserve margins. Some of the participants on this call who have asked questions, the gold price assumptions that are higher and some lower. The way that we look at this is we have to be sustainable in the lower cost environment and the rest of it is upside and that’s what we’re endeavoring to do. So with that thank you very much ladies and gentlemen.
Operator: Thank you. The conference has now ended. Please disconnect your lines at this time. We thank you for your participation.